Operator: Good morning, ladies and gentlemen. Welcome to the Fourth Quarter Full Year 2016 Financial Results Conference Call. I would now like to turn the meeting over to Mr. Clive Johnson, President, and CEO. Please go ahead, Mr. Johnson.
Clive Johnson: Thank you, Operator. Welcome everyone to our call as the operator said to report the results from fourth quarter of 2016 and the full year. We had an excellent year in 2016 with great performance from our mines, which resulted in a significant change to our guidance and the third quarter for the year as we continue to beat our estimated performance in a very positive manner. We are going to spend some time on that. I do find that in most of these calls a lot of people on the call are quite familiar with B2Gold. So we don't want to go through and just simply repeat everything that is in the news release so that you heard it before. So, what I would like to -- we like to do today, you have the executive team of -- majority executive team of the B2Gold, in our Board in Vancouver are joining by phone from various parts of the world. So we will take you through some of the highlights and then we will leave it open for your questions in terms of more detailed information. So, great year in many ways, one of course is the excellent performance in addition to that we did an excellent job, continue job on the massive construction project in Fekola mine in Mali that's usually three months ahead of what was aggressive 27-month construction schedule of our first in class researching team that most people know, so it will the fifth mine that we have crossed, so we expect to do on budget and schedule between [DENR] [ph] and B2Gold, truly extraordinary team and a great asset to the company. Now the production is schedule to start on October 1 of this year, three months ahead of schedule. We will have a quick update from Bill Lytle on Fekola, after Mike has spoken. Those who are first time hearing financially not only did we maintain a strong financial position throughout the year, we did some very attractive, some accretive financing along the way, while we are able to do unlikely thing, which is to fully fund the Fekola structuring without any equity and without another object that gives us concern. So, that was a great accomplishment I believe as well. And we will be available to talk more about that and answer any questions on that. So for us, it's all about growth, it's always been about growth, even today, if you look at the history of B2 and DENR, but we continue to grow on the last two years at a time when so few were -- most of you heard me speaking on the topic before. With respect to our long-term mandate as we see which is continue to grow profitable responsible gold producer, accretive acquisition is an exploration, we expect the gold price and that's how we are able to continue to do with some very good acquisitions over the last number of years and are doing a very good job of improving mines -- building mines, always have a view to saying let's continue to grow no matter what everyone else is doing. I think that put us in a situation today where we are not the fastest growing gold producer in the world; we are definitely very near the top. And we will hear about how operating costs are going to vary going forward as well, 2017 as we [indiscernible] reason for that but still can process, but 2018 significant increase in production of the dropping cost. We also going to have Brian Scott, who will have a quick through run on exploration focusing on West Africa, we had some excellent exploration success there both in Mali and Burkina Faso and we are excited about the potential for additional major discoveries, those countries and on the properties that we currently own. So we will be talking about that and we are looking to increase our exploration budgets this year for those areas, which are already large budgets because of the success we had so far. So, strategy is to get value of our assets and it always just for this year particularly significant year with not only Fekola, but also the exploration outside, do we have another one in the portfolio basically we have had for free because we do not pay for exploration upside, it should be reflected in our shares for the people that company will be taking over the [boney] [ph] shares of our company. So we think that's another very good way though, it adds all the value, but a very good way to see if we have the next development project for each of those in the pipeline achievement not only what you'll find. So with that I'm going to pass it over Mike Cinnamond and Mike is going to take you through some of the highlights. As I said, we are not going to go and give you exhaustive repetitive detail on everything, we will normalize it and we are more than happy to answer all your questions, as we go through this summary of 2016, 2017 and talk a little about 2018 and as I said update focusing on Fekola and exploration and then over for questions. Over to you, Mike?
Mike Cinnamond: Thanks, Clive. As Clive said I think we had a very strong positive results that we saw through Q3 have continued into the year end and the fourth quarter. We are starting with on the revenue side; we sold 152,000 ounces for revenues of $181 million in the quarter. And for the year, we sold record 548,000 ounces for total revenues of $683 million, now on the revenue side that's $129 million increase in revenues against budget. And that increase was driven by the 14% increase in ounces sold and also an 8% increase in the realized gold price. On the production side, again, very positive continue the trend we saw through Q3, so for the quarter, we produced 141,000 ounces which was pretty much right on budget. On a mine-by-mine basis, Otjikoto was inline with budget 47,000 ounces and Masbate actually still continue to exceed budget 49,000 ounces which was 6001 when we budgeted for the quarter due to higher throughput and recoveries at Masbate. La Libertad and El Limon slightly behind on budget for the quarter and those were products of lower grade at La Libertad because of delays in getting through El Limon underground and at El Limon down because there was some delays in accessing higher grade of sand potential underground both of those issues now will drive the results as we go forward. Year-to-date very record production of just over 550,000 ounces that's above our original guidance range which topped out at 550 and in the middle -- close to the middle of our reguided range in Q3 of 535,000 to 575,000 ounces. The year-to-date record production is driven by number of factors, the main once being stand-out production at Masbate. Masbate had an annual record of 206,000 ounces production for the year. We originally guided 175,000 to 185,000 ounces in Q3, we reguided to between 200,000 and 210,000 ounces and Masbate came in right in the middle and that's a product of what our Senior VP likes to call the Holy Trinity of great throughput and recovery as we access, we had higher grade as we went through the year in Masbate and we also got more upside content than we originally budgeted. Otjikoto had again second -- just second full year of production basically at Otjikoto and it has continued to perform very well and it came right in middle of its range of 160,000 to 170,000 ounces at 166,000. And translating those results into cash cost, cash cost for the quarter on a consolidated basis were $539 an ounce pretty close to budget, it's about $17 under budget and those -- some offsetting impact is there. Otjikoto came in very close on line with Masbate beat budget by $180 an ounce like MS that's just a knock-on effect of the much higher production that we saw there in lower cost and cost optimization of Masbate and sure reduction at all our sites. La Libertad and El Limon, they were over budget for the quarter, again, as a consequence of the lower production in the quarter. When we look at year-to-date, we had another record low annual consolidated cash operating cost of $508 an ounce, but $66 less than budget. It's well over our original guidance range by $560 to $595 and right at the end of our reguided range of $500 to $530. And looking at the stand-out elements in that, Otjikoto came in at $368 an ounce, $42 an ounce less than budget and just over the low-end of our reguided Otjikoto range of $365 to $405. Masbate came in at $463 an ounce, $129 less than budget and actually below our reguided range of $465 to $505, translating this a whole lot together, the consolidated cash cost of $508. Just like to talk maybe just for a minute on how we see cash costs are unwinding as we look forward for 2017 and 2018 and a couple of comments and notes. First of all, for 2017, as we expected with the mine sequencing, the mines plan, cash costs were going to go up somewhere just north of 20% to a range of somewhere $610 to $650 an ounce for 2017. And main items driving that are higher operating strip ratios at Masbate as we get into Main Vein Stage 3 and Colorado and also just lower production at Masbate for the year and also higher operating strip ratio at Otjikoto as we get into Otjikoto Phase 2 and Wolfshag Phase 1. Those cash costs and that range are driven by 2017 production estimates of between 545,000 to 595,000 ounces and that includes between 45,000 to 55,000 ounces that we expect in Fekola free production. Fekola right now is, we just recently announced, we think it's three months ahead of schedule to come online October 1st and we're forecasting somewhere around that 50,000 ounce range for Fekola. With that -- with those couple of factors higher strip ratios in the first half of the year and Fekola being weighted to the second half of the year. What we saw is production is quite significantly weighted between half one and half two, so the first half production is 43% of the total versus 57% in the second half and with that also comes the waiting of the operating cost, so operating costs are forecasted to be higher in the first half somewhere between $670 to $690 an ounce and reducing significantly almost $100 to somewhere between $580 and $605 in the second half of the year to following our overall production – our cash cost guidance range of $610 to $650 for the full year. And then, as we look forward to 2018, Fekola expected to be online and full year commercial production somewhere in the 365,000 to 375,000 ounce range. Gold production estimated for 2018 is somewhere between 900,000 to 950,000 ounces and with that we expect to see a cash cost operating range come right back to somewhere around where we are this year somewhere between 500 – somewhere as compared to 2016, somewhere in the $500 to $530 ounce range, so again dropped and it's right back to very, very good cash cost flow deal. So just go back, a little more of 2016, so all-in sustaining cost for the quarter were $877 and for the year $794 that's over a $100 less than our budget. And really if you look at for the year, we originally -- it's the $794 is well below our original guidance range of $895 to $925 and right in the middle of a reguided range of $780 to $810 per ounce. That's the product of a lower cash cost for the year we just discussed. And also some of the budgeted CapEx in several of the mine sites, Masbate had lower mining cost and lower than budgeted strip ratio this year for Colorado and we also had lower stripping and land purchase cost to some of the other sites all of which translated into that $794 ounce number for all-in cost. Again to look forward to 2017 and 2018, 2017 we're budgeting all-in sustaining cost range somewhere between the $940 and $970 an ounce that comes from the expected cash cost increase and then from some higher than normal CapEx items that are going into that calculation of 2017, the main ones being new fleet renewals at both Masbate and Otjikoto, so fleet renewals and some fleet expansion there and higher than 2016 strip ratios of Otjikoto. Those strip ratios at Otjikoto expected to come down again in 2018 and 2019. And just on that sort of higher than normal CapEx, we have the opportunity at Masbate due to rebuilt the fleet over time -- to renew the fleet, purchase the new fleet. And we thought that on a cost basis it actually worked cheaper in the long run to purchase a new fleet over time and also from a reliability point of view we thought that make the more sense. So all those plugged into 2017 numbers, when we look forward to 2018 just as we think the operating cash cost for 2018 are going to comedown somewhere around the 2016 levels and we think we see that -- we'll see the same thing on the oil all-in sustaining cost somewhere between the 2016 range was $780 to $810 per ounce, so we'd like to see something slightly lower than that. Just like to comment on a couple of other items that are in the earnings statement, G&A for the year was just under $41 million, bit higher than last year and the main reason for that is some additional cash bounces that were paid or accrued in 2016. There are few one-off unusual non-cash items that flow through our income statement and the most significant for the year ended 2016 was almost $47 million mark-to-market on our convertible notes, a share price a year ago was -- just under $1.50 and that end of 2016 it was $3.19 and with that come to mark-to-market on the converse, they are now trading at a 101% of the traded volume, so they're basically written back just about -- just over the face of $858 million and every time you adjust that number it flows through the income statement. Realized losses on derivatives almost $14 million this period in which main elements are fuel of $5 million and the gold pour of $7 million and those gold pours are the original pours that we entered into when we had the old RCF facility. Entering that is an unrealized gain of $23 million, it relates to the same thing fuel. We saw reversal and we're now in the money on the fuel derivates side, so we saw reversal of a $11 million sort of positive there. And then the gold pours that the fair vale of those reduced by $11 million, so they are now -- it's now approximately 88,000 of the old gold pours that we have put on for the previous RCF and they've got a mark-to-market value a little bout $11 million underwater but down significantly from where they were. To comment as well that we did enter into some prepaid sale arrangements in 2016 that we discussed before. Those are basically forward sales where we got the pro-season events, why those unwind and they are starting to unwind sort of evenly over the next 24 months in 2017 and 2018. We will see those unwinds through the revenue line, so that the $120 million received in 2016 will unwind through the revenue and unwind over 2017 and 2018 you won't see it coming through that's derivative line because they are not derivatives, they are kind of sort of prepaid revenues. So all are translated into net earnings for the year is $38.6 million, which compares pretty favorably to a net loss of $145 million last year; last year of course we had some significant impairment charges. And when you look at the earnings numbers on a GAAP EPS number that translates to $0.04 a share for the year or $0.01 for the quarter. And on an adjusted EPS basis, the adjusted earnings for the year were $99 million or $2.5 million for the quarter and an EPS basis adjusted was $0.11 for the year and basically breakeven for the quarter. And the GAAP EPS number of $0.01 per share that was impacted by a number of factors in the current quarter including slightly lower earnings coming from Libertad resulted delays in accessing El Limon, some higher non-cash expenditures such as the things they just discussed and things like depreciation and other non-cash items and then the bonds [were accrued] [ph] in the period. But overall, $0.11 per share adjusted earnings for the year is very close to the analyst prediction. I'd like to comment on a few things in the cash flow statement now. We had -- first thing, I'd like to say is, we have record operating cash flows of $411 million, almost $412 million for the year, which translates to $0.44 a share -- cash flow per share as compared to $175 million or $0.19 a share in 2015 that's almost $240 million increase, but half of that comes from increased revenue on increased sales and $120 million of it comes from the prepaid sales that we did in the first quarter of 2016 to fill the financing GAAP that we had then. Looking down to financing activities, we shoot on an extra 100 on a revolver and we paid 125 as well during the period so that on the revolving credit facility we've drawn $200 million by the end of 2016 and subsequent to the year end CIBC as confirmed that they wish to join the banks syndicate further revolver, so we now have a total revolver capacity of $425 million, which means there is $225 million available for draw subsequent to the 2016 year-end. Couple of other items in the financing section of the cash flow, we had almost $40 million that wasn't budgeted originally for exercise of options reflecting very good one that we saw on our share price that favorable gold price increase and then the very good line that we saw on our share price. And under our ATM at the market equity offering, we issued just under $45 million worth of total available amount of $100 million that we have filed and covered by our supplementary perspectives and we're using those proceeds to fund an expanded exploration activities in 2017 and as we go forward to 2018. Coming to on the cap lease, we did ink and finalize a cash financing facility for Fekola of just over €71 million and we drew the first tranche of that almost a quarter of it in the first quarter of 2017. We also expect to finance some of the fleet expansion and deciding Otjikoto as we look forward in 2017 a little late in the year. On the investing activity side, total of $392 million for the period including $241 million related to Fekola, which is obviously our main area of capital expenditures right now. CapEx generally accrue up the other mine sites we're below budget that really reflects the timing of sequencing of some of our stripping activity, lower stripping cost as I mentioned before from Masbate and Otjikoto, and then, just lower land purchases in some areas as we changed the timing of when we add some pit areas and mine and places like Jabalí Antena. Overall, Fekola was $241 million and Fekola remains three months ahead of schedule and completely right on budget, so we think we're going to come online on a construction basis October 1. And on a production basis we finalize construction and have our first quarter October 1. And this year we expect to spend just over $170 million on Fekola construction cost to get us there in 2017 to that final number. The total construction cost for Fekola, the original $462 million as we had in our feasibility study, and then, we approved two additional elements in 2015, $18 million for plant expansion to take us from 4 million ton to 5 million tons per annum. And then, another $20 million to relocate ability to -- proximity of the mine and that relocation that's not based on any requirement or mining permit that was based on the fact, it stands in discussion with the stakeholders there and the realization is a much better idea to move the village because of it's proximity to the mine to the mine -- to the pit. Although Fekola cost that we're going to incur in 2017 of just over $170 million for construction. We think we'll fund between $70 million and $80 million with the new [cap] [ph] facility that we just entered into. One of the comments on 2017 CapEx as we look forward, so in addition to those Fekola construction cost, we've also because mining, our construction and earth moving is ahead of schedule at Fekola and also with the desire to make sure that we have more than sufficient ore on the stockpile to see a bigger mill when it comes online. We actually proved in this year's budget almost $50 million, $47 million for accelerated fleet purchases, fleet that was originally extended for 2018 has been pulled into 2017, and also ore cost related to stripping and lowering of the inventory stockpile, so almost $50 million, but that was the result of another reflection of prior ahead of the schedule I guess via Fekola. Overall, we look down all these things translated into year end cash balance of $145 million, we feel very comfortable that we're well funded to get some gold finished beyond looking forward. And I think with the addition to revolver as well as just gets it even more flexibility to think about what we do as we look forward. The other thing that we just mentioned briefly we haven't given any guidance on 2018 at consolidated cash flow levels, but obviously with Fekola online for full year we expect to see that number comeback at somewhere around where we were this year or some even higher and remember that in 2016 we had $120 million for our operating cash flows that relates to prepaid sales. So even taking that out and reflecting the repayments on the delivery and some of those prepaid ounces, we still think we'll get back to sort of record levels in the cash flow basis that we've seen this year and that's based on a sort of high level consideration of what gold prices are. So I think that's all I was going to say on the results and some brief look forward there, but happy to answer any questions now, if you want Clive, I don't know if you want to leave it to the answers?
Clive Johnson: I think, thanks Mike. I think we'll leave the questions to the end basically we have some brief -- summary of the call updated and then talk about quick exploration update. So thanks Mike. Just in terms of a good review of the numbers as we said 2016 great year, 2017 part of the reasons we expected my plans et cetera free shipping and rollout some of that cost was expected, one of my strategic to this business is some of the ways that all of sustaining costs are calculated on a percentage and that get under the accounting. But it seems to me, if you are going to build something or you are going to -- or if you are going to buy a fleet or you're going to do something else, this is going to last for a number of years like a pre-strip is going to give more number of years and why would it make any sense to anybody, it's not an account when some account while it make sense to actually be hit with that cost in the year you spent the money when benefit of that cost, which you are spending is going to be benefit over much more than one year, so that seems to me that investment to be really unflexible, during the day those are both technical accounting terms, I believe if that's what, but at the end the day that's [Technical Difficulty] constrain certified. All right. So I think what we'll do now is, we'll turnover to Bill for a quick summary of what's happening on Fekola. We just had a trip down there, a very good trip starting in Cape Town and going through Otjikoto and see the mine and what a great job that our people are doing there. And then, up to Fekola to see next time, which is really Otjikoto on steroids. So with that, I'll pass it over to Bill.
Bill Lytle: All right, Clive, do you hear me?
Clive Johnson: I hear you fine.
Bill Lytle: Okay, perfect. Thanks Clive. Just in summary basically what Mike said, I just reiterate, the key takeaways that we remain on budget and ahead of schedule that we're going to start plan goal by October 1. I'll just briefly go through all of the major areas and tell you kind of where we're at on each areas and give you my opinion and why we're doing so well at the end. So within the mining area, we have started pre-stripping the overburden of the mine, we removed more than 1.2 million cubic meters of material from the pit. In many areas we're down to hard rock now. We have signed the contract with the blasting contractor and we anticipate in the second quarter to start blasting hard rock and loading it on the stockpile for consumption in the mill. As far as the equipment Mike alluded to it, we have some of the equipment that we had originally decided to order in late 2017, early 2018. We move forward that includes the mining fleet of the trucks and the excavators, currently both the 6020 excavators are onsite once working in the pit, the second is being commissioned as we speak, the 777 trucks have arrived down site and the plan is to get those operational in April. Moving over to the mill area, the key takeaway there is all of the major equipment is onsite, most of it is installed just running quickly through it -- quickly through the process circuit, the main crusher and the pebble crusher are both onsite installed, all the major conveyers are installed. If you look at the tankage, there is the CIP tanks and the Leach tanks are installed SL Smith is the group that is installing the mill they arrived in January of this year and they're currently installing the mills with the intention of having those installed by the end of May. As previously disclosed, we had an early works program where we hit a lot of the earthworks early on and that allowed our earthworks team to get a jump on things like the Tailings facility and the water dam. At the end of 2016, those were materially complete and we're in the process now of lining everything, which as we talk about when we're out on the road, it's not a requirement of the permit, it's just one of the things that B2 does, it will be a Tailing facility designed to international best practices. So the lining is going very well, we're more than 50% of the way done with that at the Tailings facility and we anticipate completing that before the end of the raining season. The last major thing to talk about is the Powerhouse, the Powerhouse is a contract being installed by JA Delmas. They are onsite. They've increased staff and we anticipate that those will be ready to commission the mills when we're done building the mill. So the takeaway really is, that we're in very good shape as far as construction. We don't see any major hurdles to meet our October 1 deadline. And just briefly Clive wanted me to talk about why that is, certainly the groups that we've onsite and for those who went on the site, you can certainly talk to them and they will validate this that the team which includes Kieran Loughran and Richard Matson have been with us for every major construction project we've had since 1998 and they continue to perform their team that the team they brought is just doing a fabulous job. The commissioning team, the commissioning team has arrived onsite. They are currently working with John Rajala, our VP of Metallurgy. And getting a team hired and ready to go and the operations to include the mill manager and the mining manager have already reported for duty onsite. Additionally, the lab manager Jack Stanley is onsite and will be commissioning the lab in early April. So overall, things are going very, very well and we continue to project that we'll be in October 1 start up date. Thanks Clive.
Clive Johnson: Okay. Thanks Bill, once again, we'll just wait to Brian to do a brief exploration over review of what focusing on the exciting results and potentially in West Africa. Brian?
Brian Scott: All right, thanks Clive. Tom sends his regret, you usually hearing from Tom Garagan, but he is doing what he loves do to best and he is either in a jungle or finding a volcano in Central America right now.
Clive Johnson: With his kids.
Brian Scott: Yes, recent budget for 2017 is a very healthy $46 million and we may expand that the focus of that right now is to trying to unblock the potentially north of the Fekola design test. And you've seen some of that in the February 13 news release and some of the graphics we've shown in the past that there is the Kiwi and the Weaver zone that are almost extensions of the structure north of Fekola and the idea that if we can establish continuity of some of the shallower zones, they will unlock the deep extension of the Fekola hybrid zone that extends beyond the design pit at the end of the mine life. Then we have the options to mine that from underground, but if we can establish continuity with these shallow zones north of the pit then we maybe able to expand the pit in later years in the life and get to the deep stuff as well as the shallow stuff. So we're going to have several rigs there this year looking throughout the licensees for other high grade targets, but it's going to be a strong focus on that area north of Fekola right now. In Burkina Faso, we've got $7.6 million budget that is focused on defining the hedges and going down plunge and up plunge of the Toega zone that we've mentioned as well in that February exploration update. We also think there is other high quality target surrounding that and the intent is to try to identify another two or three Toega style targets there and continue with that exploration. In Namibia, we are looking for other near mine targets to Otjikoto and Wolfshag as well as drilling on the Ondundu joint venture project, which is about three hours away from Otjikoto. So if we're successful there that would be a standalone situation. And down in Nicaragua on both Libertad and Limon. Libertad will be a combination of brownfields and grass roots looking for a bit of infill to upgrade some inferred into indicated that we can slide into the reserves and extend the mine life as well as drilling off some other structures to the west of the mill and see we're successful there. At Limon, we're drilling a near surface target that might be bit open pit fleet for the mill at Limon and there is another target that's very closed to the mill that was previously mined in the 1940s called [Osobono/Centrale] [ph] that we're getting very good success on and that target seems to be thicker than what was imagined earlier on, so we're quite excited about that one. In summary Masbate, we'll continue with similar budget to last year and we'll be drilling the combination of brownfields supporting infill on Colorado and Main Vein with the operations guy as well as drilling some targets nearby and we can find we can extend that mine life. So in summary West Africa has been the main focus and we'll continue to try to expand the zones and extend the mine life. Thanks Clive.
Clive Johnson: So as you've heard there is a lot of reasons for some excitement and optimism about the potential many of ours, but I think those are the major potential extensions or discoveries West Africa seems to be highest of the less sort of 15 targets now on the Fekola property itself and identify from surface. So lots of work to do there and lots of results to come out for the rest of the year. One thing that I sort of lay out is a little -- whether it makes us perhaps a little different, lot of companies is the way we approach business from the technical side and not working as separate teams with separate stages, but really working together very well. And the example of that would be doing across something like the Anaconda or Toega and very early on these some six or eight or ten drills, you opt from the [indiscernible] metallurgy, see the exploration guys won't -- now, you drilled some holes and that's been great and extending core almost start doing metallurgy. That's pretty very, very unusual and that's kind of the idea of the team working so closely together, we are always thinking forward, looking to see if we can fast track, we'll run down two tracks at the same time instead of just doing the old fashion exploration for seven years, prior down the explorations and give it to the engineers and then when they sell it, think about metallurgy and then the technology [indiscernible]. So we've already started permitting similar approach, we started permitting on things like Anaconda and on things like Toega. So, I think that's one of the reason where we're doing what we do and grow especially as we grow. And as I mentioned Toega is an excellent target, it continues to be growing and we will have resource estimates on Anaconda in April and the initial resource estimate on Toega as viewed at the quarter and that's the other day, but only because joint keeps getting larger but we will come out with an initial resource, it is still open January and looking at whether that complements the actual deposit to make them together an economic scenario something on Toega standalone – potential standalone mine, but it starts in early but we're excited about the degree more than doubled and potential size of Toega. Things before I open up for questions, I just want to -- it's going to come up as questions as it should, but then I just want to touch briefly. On the situation there Philippines obviously this is kind of -- this has been an interesting time in terms of what's going on in terms of the government of Philippines, and then, the reaction to mining and audit et cetera. So we put on a lot of stuff, initially it's in the development and the MD&A, the quarter you will see extensive -- I will say an exhaustive work, disclosure about Philippines, but I think it's an important issue that we're very transparent as we always try to be realize that. So from a high level and then it comes up further questions and they will speak more to it, but just at a very high level, we consider ourselves to be gold sand and our gold mines in the Philippines is the largest in the country, there are other companies like Oceana, done a very good job. And we are confident when we write back to President's comments when he first got to power, it was the CVC clearly confirmed and recognized the Philippines needs foreign asset very much. And they want to need for investment they are helping in successful mining industry. He and his advisors put it out that they wanted the mines to be built to Canadian and Australian standards. So we are in our view have done that with the predecessor company CJ Mining in the good job of constructing the mine and we feel our standards have been an example for many in the Philippines to look to follow. So, Philippines find themselves to be a potential that recognizes their legal structure, I'll tell you that, often they are very proud of that. So we believe we are in compliance have been and continue to be for compliance with all Filipino laws and regulations, process and routines. So we have an excellent environmental safety track record have to do some tremendous work and it should be done and we are 90% of the economy and that's by the island. So we leave responder to the government very quickly when the audit came out to adjust the what we are -- in our case frankly those will be minor administrative things half of that for the most part that we were able to tell the government quickly and our mine provide the answers or clarifications or explorations acquired. So we are willing to go back from the government at some point, but during the day the decision was deferred and the other companies like Oceana were and many others were on a suspended list but they believe that, obviously, too much of them that was supported as well, they have already spoke into that and there is no process for what's happened in this situation and then there it is not under rule of law so we have this approach so they continue to mine and they believe that it's immediate hear to the day of this issue. While we figured up, the idea of the governments and the good lines we've recognized that we will continue to mine, there was nothing wrong with the idea of auditing mines in the Philippines as many mines, frankly in the Philippines that are environmentally very bad there mainly was pretty social issues as well. So the idea of the audit in and itself was not a bad one, we have been there, we think from a very higher levels of the idea -- we are very well do the audit, clean up the industry and then overturn the market that was put on by previous government against any further mining development in the country. This is a country with tremendous riches and resources and responsibly handled Philippines can become a much -- more significant player not just evolved in many other battles in terms of mining. So at the end of the day when the dust completely settles, we think this end result of the exercise maybe positive than way it was -- way it was ahead on this obviously in the -- from the perspective of core business in Philippines [Technical Difficulty] that became something very different reaction to the [indiscernible] expected under the rule of law for the history of practicing with those, so this is just of high level. I think now we'll open it up to questions, so if you have really -- need your questions about -- you could ask now, but we may ask you out for someone from this group to respond to you very quickly and separately by phone or by e-mail to your question. So go ahead and let -- rather than trying to do your quality of your analytical report, here are ordinary people on the phone that might ask some of your -- ask the question, so please go ahead, ask the questions, but we might sort of refer you to someone else to give you a personal -- to give you the personal touch, we will call you directly to discuss rather details with someone, that will probably be your questions.
Operator: Thank you. We'll now take questions from the telephone line. [Operator Instructions] The first question is from Rahul Paul of Canaccord Genuity. Please go ahead.
Rahul Paul: Hi, everyone, great to see Fekola three months ahead of schedule and looks like the expansion to 5 million tons, so we completed the full startup. So, correct me, if I'm wrong, but specifically with mining rates, I understand that they were always planned to be 5 million tons and the 4 million ton scenario you were going to stockpile a million tons of low grade material and the 5 million ton scenario you'd put everything for the plan. So question here specifically on the mining side, how much ahead are you versus plan and are you sufficiently ahead that you might have the flexibility to go ahead with the stockpiling strategy in the 5 million ton scenario, i.e., stockpile lower grade material and put higher grade material for the mill.
Clive Johnson: Bill, I think that's a good one for you.
Bill Lytle: Okay. So Rahul, the answer is, yes, we're always required, we'd always design the mining rate to be at 32 million tons per annum, which is basically the 5 million tons per annum case. And you're correct once again that under the current scenario at the 5 million tons per annum we will be loading low grade stuff through the mill. Obviously, with what Brian was just talking about, if we fully anticipate that the low grade stuff will be pushed out later on with any success we have at some of the areas. So in relationship to what we currently are doing we are ahead of the schedule basically we were supposed and these are going to be rough numbers who are supposed to produce around 600,000 tons of material before we started the mill originally. Now, we're talking about 3x of that close to 1.8 million tons and we're sufficiently head, that we think that we're going to hit that target for October 1.
Rahul Paul: Perfect. That's good to hear. And then, on the just moving on maybe a question for Brian, how much more drilling do you need to bring the deposits alongside of the Fekola means that Kiwi and Weaver zone into the mine plan, when should we expect resources for these deposits?
Brian Scott: It's a good question. I think the first plan is to establish great continuity in both those zones. And we'll do that probably at an inferred spacing. And once we establish continuity then we will -- since we ramped the target and decide which ones have to be infilled. So theoretically, yes, we could probably get to an inferred stage possibly indicated at the end of this year, but there is no guidelines right now we're just looking for the best target as we got about 15 of the mouth there to drill, so we're going to hit all of them right now and rank them and then decide which ones, but obviously we can unlock that deep plunge on Fekola that's our number one.
Clive Johnson: I think this is right to say that if we are seeing some grade and don't know whether how high grade has to be given the grade of the Fekola deeps underneath, we see some grade in Kiwi then I think we'll do progressively, it looks like this is going to be more of an underground target, less success there then we're probably not going to drill half of that on Kiwi, if it looks like this side of the grade that makes it, is able to get to the deeps.
Brian Scott: That's correct.
Clive Johnson: Then we will go on the store, so we had 14 target, so we see that, so does that answer your second and final question, Rahul?
Rahul Paul: Yes. It does. Thanks a lot Clive and team. That's all that I had.
Clive Johnson: Okay. Thanks.
Operator: Thank you. The next question is from Lawson Winder of Bank of America. Please go ahead.
Lawson Winder: Hi, guys, thanks for doing the call and taking the questions. If I might just had a question regarding the negotiations with the Malian government, so both on the additional 10% interest, and then, also on the mining convention. So, first of all, are those two part of the same negotiation, are they completely separate, and then, I guess just a follow-up question will be -- are they intertwined in such a way that one might depend on the other? Thanks.
Clive Johnson: We were just down in Mali recently on this trip and at the tail end, we went and [Technical Difficulty] very productive meetings with the Minister of Mines and the Minister of Finance, and then, we've taken the Minister of Mines in Mali to see Otjikoto, after he has been there, we spend some time. So it was very good to show him kind of what we do and I think from his comments, he was very impressed and pleased with -- Otjikoto and was a very positive of what we are doing. He subsequently went to PJC and in fact came after that came to Vancouver for a couple of days and we got our chance to spend quite a bit of time with him. So I think that's ambitional relationship as it is with the Ministry of Finance and I think the whole government seem that the importance of this project to the economy of Mali. And they are very happy with what the things are doing and with our transparency and our respectful approach to their government. I will let Mike comment on the specifics of convention and also the shows agreement and see ourselves being in very good shape on both of those. Mike?
Mike Cinnamond: To address your question, I think these new two separate documents and they are not specifically intertwined, the convention really just to addresses the physical stability or regime in which we will operate for the course of the mine and we have a period of degree in the convention just generally 30 years. And that's based on whatever the tax regime is at the date of mining license position, so this is kind of pre-populated to a larger extent. The shareholders agreed when it's a separate deals with how the company dialing, Fekola, the operating company and its parents and the government of Mali will interact with each other and that's the separate discussion that's not sort of build into the legislation other than we have to do one because the government of Mali will be a shareholder. And what is in the shareholder agreement, it's also the -- they do build an evaluation for that second 10% interest that the government has the option to buy. And the government has certainly indicated that if they want to buy that second 10%, so once that evaluation is finalized which is very close now, we just need them to finalize the paperwork on their side. Then that can be built into the shareholders agreement, but the shareholders agreement can be signed until that's done.
Clive Johnson: I think the evaluation process has gone very well both the government and B2Gold just appointed separate independent evaluators. We were obviously extremely transparent with everything in Fekola study and beyond and an accretive basis for evaluation and then both evaluators have comeback very close to each other. So we think that is -- that is very close to -- we are having a number down to plug in the shelves can be finalized. We're not -- given the year's experience with our business, we're not a company that went backward or just agrees fundamentally with the idea of government ownership. It's becoming -- topic around the world and countries say well, wire corners coming in and particularly quote our goal. I think that we all know that these countries do not have the -- companies within their own countries with the financial strength and capability to do what we do, so there was reported investments. But, I think if situation like this with the government also carried 10% and then make a purchase at fair market value and other 10 and be your joint venture partner. I think that's a good thing and we don't think that negative impact, we think that it's a good way of explaining to people, how it works and then the benefit, some of the royalties were rather harder for people in country to understand that it's a very small percentage et cetera. It's important. But I think the ownership is -- the ownership has been just something that is, the reality can become more reality and that goes on. That's got to be -- it's got to be fair and like financial sense, because the last thing in government should want to do is just opt for investment by making that shorter. We think that structure not only is recent one and a fair one and there is one that both sides can embrace and come out and talk about the positives of the structure. So, we see that has a positive thing, so far, we've enjoyed a very good relationship with the government of Mali, I think it's a good place to do business. And apparently the market does as well. We've hadn't a lot of push back on Mali from investors and I think it's obviously because of the success of other companies in the area, doesn't feel that's an ongoing, we will stop with Mali was much more understood in the U.K. and Europe then in North America, I think that was true up until quite recently. Now, I think it's much more product of ours reaching the profile as we see that in any case coming in there, there are others as well. But they took that as well. So, I think that our shareholders understand the realities that Mali has some issues and those are primary issues of types of tension that and trouble water in acquiring the Northeast, so we can Fekola is away, we are important to where we're very much in step with other mines in the area both security and cooperating working on that, and then also working very closely with the government as everyone knows there was a terrorist incident about a year and a half ago that's obviously was a wake up call for everyone of us. So we think it's a good place to be in the line of spacing, we think it's a good place to be in the future hopefully we can help this country through the inputs of gold mine to better the lives of so many people in the country.
Lawson Winder: That's great. Thank you very much for that very thorough answer, I think you've definitely covered all of the questions that I had. If I could just on Libertad, one final question, just curious when you state that you estimate now the life of mine is three years. It just doesn't seem to me that you're basing that on full conversion of the M&I, and then, further resources into reserves ultimately, so maybe if you could just discuss what does based on in terms of reserves and resources that would be from me. Thank you.
Clive Johnson: Okay. All right. Bill Lytle?
Bill Lytle: I can answer that and really it's an update on what we're doing with the reserves and resources and potential resources around the property. Often we are looking at two areas that we're developing one which initially we've coked to be underground development and that was in our budget actually underground development this year. We're converting that into an open bed for making gates there. We're also looking at the extension of Mojon pit to the southwest; we've had great results in that area. We're currently doing infill drilling and developing those areas, both those areas in fact when we met and talked to the President Ortega, we've talked about the recent developments that we had there and look to the government for support for permitting those areas, we got good support from them. [Geo-CAT] [ph] drilling is going on now much as five matches in terms of rapids for the permits that's been applied and the EIAs have started. So, we see some good areas coming together, need a little more definition particularly in the Southwest of Mojon pit, but we're pretty confident that we will be able to move forward and that's what gives us the basis for the three years.
Clive Johnson: And so the three years is predicated on some transition from inferred, we indicated and also some improvements exploration success along some of the extensions on the results that we see that as high probability and beyond that some awful lot of gold on this area. And we will be looking the areas all around the mill and frankly some controlled buyers, some perhaps by others when you have a central mill like this. There is a possibilities to see what you can do down the road to extent beyond that three years as well. Obviously, Nicaragua delivered which had served as extremely well when you look at the $45 million acquisition price in 2010. We continue to do that to -- continue to do some mine life with exploration success. And we are very good at that, we know very well. So we hope to continue with that success. But also, look at Nicaragua and these areas around as the potential, we had two mills there, doesn't make sense to something we can do that make sense corporately to continue that production into well into the future what we see today. El Limon just I think we mentioned the close of [Bono] [ph] zone, which is very close to the office, so call it -- office seen it's own. But at the end of the day let's switch gear and own historic one year since it's there, and feasibility to find out they are actually lot of high grade left beyond, pin grade left behind. That's a real bonus and that's kind of, I mean, we are in great shape for quite a while based on the combination of good underground complemented by the best reader around the mine, so we're feeling pretty good about the future at El Limon.
Lawson Winder: Great. Thank you and fantastic job with the call. Thanks guys.
Clive Johnson: Thank you.
Operator: Thank you. The next question is from Geordie Mark of Haywood Securities. Please go ahead.
Geordie Mark: Yes. Good morning and afternoon. Yes. Just like to a whole of issuance West African side because it's there in February. Maybe just to focus on those for instance through Fekola for the five year average, I guess are you looking at -- look to the heavy grade profile, you're looking at there maybe to follow-on from a little bit of Rahul's question, just looking at the interplay between average sort of mill head grade to deliver those ounces versus the expected head grade coming out of the mine, are you looking to like Otjikoto to offset some lower grade material there to bring in just forward.
Clive Johnson: Bill, I don't know whether you have that each at your fingertips there, or do you want to comeback and response to that very specific and detail question.
Bill Lytle: Yes. I first ask if John has a head grade for the mill handy right in front of him, I don't have the right in front of me.
John Rajala: No, I don't, Bill.
Bill Lytle: Okay, yes, someone has to dig it up.
Geordie Mark: Okay. No worries. And maybe just, sorry I maybe I missed it. In terms of the additional components or expansion capacity to $5 million for Fekola, so the little pressure in the CL tank and the generator, is -- with the power, I guess facing is going to be ready, will that include the --- I guess ready by May, but that include this additional generators for the expansion and when will the -- I guess the second pebble crush will be installed?
John Rajala: Do you want me to answer that Bill?
Bill Lytle: Yes. Go ahead John, you got it right there.
John Rajala: Yes. The additional generator will be ready this year in the fall, but we'll have plenty of power for startup and it's planned to have the second pebble crusher installed at start-up ready for start up as well.
Bill Lytle: And John just correct me if I'm wrong, the tanks onsite right, the basis is already been put in the tanks onsite.
John Rajala: Yes. That's going to be ready, it will all be ready when we start -- they will start together.
Geordie Mark: Okay, excellent. Thank you. If I may, just one last question. I know Clive you mentioned briefly in Anaconda would be resulted in mid-April just wondering what the next steps are, if you could expand on that for Anaconda and how you see that into the performance of Fekola footprint, I guess?
Clive Johnson: The next steps -- we are doing, but we quit -- there is quite a bit of metallurgy we just mentioned in studies looking with like the podium who start our work for Fekola and of course these working with us for detail engineer design, Otjikoto and Fekola. So one of the ideas we've talked about looking at the Anaconda is potentially economic scenario with -- due to the nature of the supply material meeting very little, the last thing and fairly low strip and perhaps some more simple recovery weapons that we look at sort of target and might stand to something that can add production by having a standalone serial and running coal and carbon down to Fekola. So that's kind of the initial thing and those studies are all going I think by the end of the year, we are going to have pretty example of that. In addition to that, one of the many targets on the Fekola property jumping hereby, I think it was over, and the targets four at the Fekola saprolite is beneath is this, four kilometer by 300 meter long saprolite sold in Anaconda obviously the realization can be dealt. And there are a number of pipes, Fekola's normalization but brought that inside of gold mineralization up to that level we have seen in the pressure rock underneath you've seen some of the most [indiscernible] that are hitting some grade and that's quite interesting and saw the result. So that's going to be a priority target as well. So we'll have some starting, get some use of Anaconda for the second half of the year from this smaller stand potential opportunity, bigger picture is that another -- this is another Fekola's step in one of the exciting types of property. High numbers driven, I know we are increasing the budget, but lastly guys it gives an increasing budget, but not only we still drove-off saprolite for the most part, what was program underneath that was going to be -- we are going to be doing that quite soon as a target.
John Rajala: Absolutely. Yes, there are several targets guys that exist that we think exist below the saprolite in the Anaconda at or and we still happen to establish the boundaries of where that saprolite resource is. We have to also understand that the footprint of the Fekola deposit as it came to surface was actually quite small, the main hybrid shoot, so as Clive said the straight extent of what we're looking at in the Adder and Anaconda zone is huge. So we're targeting a very small zone to identify the hard rock source, so there is definitely several targets out there that you guys have some new geo-physics that has been flown on it. We're going to be completing another survey shortly, but we will be testing several target this year with diamond drilled rigs.
Geordie Mark: Appreciate this. Thank you for this detail.
Clive Johnson: Okay, Geordie. Thank you, John, if you want hear, send an e-mail with your throw-in, if you like to improve your detailed question in terms of grade five years that's Fekola, please sit down and look forward to Bill and John are going to answer it directly to you. We're updating the Fekola mine plan up until now we're working of deal feasibility study, so we're now updating that and when are we supposed to release that, is it once stabilized the mine plan.
John Rajala: It will be done in June. We haven't discussed when we're actually going to issue that.
Clive Johnson: All right. So it's in the -- after June after -- I think internally it will come sometime after that, I mean I wasn't expecting any negative surprises from that but it will be a more detailed update into mine plan and perhaps some positives as well up to winning them.
Bill Lytle: The reserve grade for Fekola is 2.37, it's about 2.4 grams for the actual mill feed, I think the number you're requesting over the next five years, it will be variable, it will be potentially little bit higher in few years.
Clive Johnson: So, want to ask about the greatest little stockpile.
Geordie Mark: Okay. Thanks.
Operator: Thank you. The next question is from Jeff Killeen of CIBC. Please go ahead.
Jeff Killeen: Thanks for your time today everybody. I wanted to start in Nicaragua, just thinking about Libertad and development of Jabalí Antena, you're suggesting that it should come into Q3. Can you give us a sense of when the relocation and permitting all of that would have to be completed in order to make that timeline?
Clive Johnson: Well, I'll pass over to Dale and just first of all, we were in Nicaragua between the conference in Penang and made a very positive meeting, it was taken obviously with the major portion gold mine in the country since 2010. And there was 200 president in country from very strong mine given history of working in solar mines et cetera to a country that understands that safe and responsible mining can be very good to the economy. So we have a great relationship there and still said earlier Jabalí Antena is not a simple exercise, the deal is going to spend wide, but it's been frustrating itself and local landowner and this is a grandeur in terms of value et cetera and needed the relocation which we've done a very positive relocation in the area to-date. So then there is just that it continues to take longer is a very small percentage of budget in production. But we have these two new zones it's about 5% and these two new zones, we have already mentioned that are -- why not anywhere near is, it's sort of seen as complication. And then, those are in a conversation including the President we discussed those zones, they have permitted four little [indiscernible] allow Jabalí Antena contracts all a bit to be part of not a material significance for a while which may change the approach of us and perhaps when they approach of the -- our problematic landowner in the area down, so, would you tell us or not, but that was a very positive meeting with President and it's sort of tidily and I think that really -- I think it really showed the government understanding the Portugal mining and B2Gold true potential.
Bill Lytle: Okay. Just a follow-up for Jabalí Antena zone A relocation is already complete and that's the area that's immediately adjacent to the best. So, the next area of relocation that we're looking at is actually set on the east portion of the owners in that area. The pit itself is going to be pretty easy to develop or where the assets of the adjacent to the road, it's not a drill blast test, it's a ripping test, so we are set for ripping there with dozers, rippability test has been done. We anticipated that we'd been in and working should take about a month to get ourselves nicely setup and start to produce.
Jeff Killeen: Okay, great. That's good clarity. Then thinking about Otjikoto and Wolfshag, you've given us some good information for 2017 into nill feed, it sounds like you're still working out the finer details on getting underground or where that interface would be, do you think that something we'll see in the public in 2017, in terms of the full longer scale study there, is that something that might come next year?
Clive Johnson: Who wants to handle that one?
Bill Lytle: I'll handle it. So, this is Bill. The answer is we fully intend to by the end of this year. But keeping in mind that we have plenty of reserves in the open pit as it currently stands to run through 2021. So we're not that uncomfortable with the schedule. But the answer is yes, our intent this year to make a decision on where that phase would be.
Jeff Killeen: Okay, great. And then, the last question from me, just on the balance sheet certainly a good cash balance, good to see you extent that RCF, with those two components in mind, do you think that you would still consider exercising the ATM in 2017 and if so, can you give us a sense of what sort of price range you might think about reactivating that?
Clive Johnson: Well, this development was as you see, just literally in the last week without coming in for the additional [indiscernible] which is a great news another great thing is little strong, and joining the citizens. We think that is very, very positive. And obviously, in terms our access to cash sequence is really. ATM is probably something we will look to continue with I mean the idea of the ATM was to have -- to give the space on that equity to really focus -- the ability to increase exploration to West Africa, as we said and then $100 million for those types of purposes. So whether all review of maintaining financial strength all the way through. So, it's something we'll probably look to do. There is no rush, that's a great facility to use cash something like ours and [indiscernible] now in desire to raise equity. But those numbers are extremely small, we have about $54 million left on something like that and so whatever press you want to hear, this is a very small amount of shares, which is an average of 16 million shares, I think so. And then, the ATM remains misunderstood to something largely by some people drawn on and I don't know whether they want to understand because this is not what you pass in front of the dealers unfortunately why -- all the way need work together, but at the end of the day $106 in the United States last year was only through the ATM. So, some kind of ideal sometimes just coming, then you can't stop it. And so at the end of the day, I -- people have said to clarify [indiscernible] which are misguided and just made of just a increase and start getting forward with companies that will want to do it. So it's a good facility for our shareholders and so we try to do best by deal cost out with the ATM, which comes along with the agility ATM, go back to our shareholders and having that likely for years go back to our shareholders and always see rather than shared an equity, if you're going to do any equity go from the others because we'll probably want to play at least pro rata. So that's what we do, so at the end of the day, you've been actually doing the best of approach to use the ATM to get lots of stocks rest assured in retail and people are going to chase this stock higher, it's at the market. But, things go south, whether the couple of times in this process not because of company overhead as ridiculous on the sizing issue. We're looking at gold prices fell, low structure prices twice when we were done something you just still exactly we can do with the ATM which is you remember or not we are out of the market for a while. So we haven't said and the other sizable what prices we might do that. But I'm just end of the day it's about I mean we've been around where , 450 show whatever you can do the math and it would be a very, very small shares, a tiny and a small amount of our technical weekly volumes. So we'll probably -- hopefully had some tile of our choosing.
Jeff Killeen: Okay. Very well. Thanks for your time and thanks for answering my questions.
Operator: Thank you. The last question is from Chris Thompson of Raymond James. Please go ahead.
Chris Thompson: Good morning guys. Congratulations on a great year and just one final question, lot of my questions have been answered, but just looking at Masbate, I understand the -- I guess the mill feed split between transitional freshen oxide for this year, is this what we should be modeling on a forward going basis.
Dale Craig: Yes. When we look at sale here -- when we look at 2017 we see about 17% oxides, 36% transition and 42% fresh or that's pretty the right model to be using going forward as compared to last year like size brand of about 41%.
Chris Thompson: Right, perfect. And then finally just Montano, the Montano device, is that still in the mine plan or what's the stage is on that, Dale?
Dale Craig: Well, that is something in our mine plan and everything went exactly our way, we would be looking and developing that in 2018. But, I have to be upfront of both conditions in the Philippines we have hope on mine permitting in the Philippines. So we have all our decisions ready, we continue to secure land in the area, we're waiting for the opportunity to get our permit process moving forward.
Chris Thompson: Perfect, okay guys, thanks a lot. Congrats.
Clive Johnson: Thanks, Chris. I appreciate it.
Operator: Thank you. There are no further questions registered at this time. I'd like to turn the meeting over to Mr. Johnson.